Operator: Good afternoon, ladies and gentlemen, and welcome to the Zumiez Inc. Second Quarter Fiscal 2025 Earnings Conference Call. [Operator Instructions]. Before we begin, I'd like to remind everyone of the company's safe harbor language. Today's conference call includes comments concerning Zumiez Inc. business outlook and contains forward-looking statements. These forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties. Actual results may differ materially. Additional information concerning a number of factors that could cause actual results to differ materially from the information that will be discussed is available in Zumiez filings with the SEC. At this time, I will turn the call over to Rick Brooks, Chief Executive Officer. Mr. Brooks?
Richard Brooks: Thank you. Hello, and again, thank you everyone joining us on today's call. With me today is Chris Work, our Chief Financial Officer. I'll begin with a few remarks about the second quarter and the back-to-school season before touching our strategic priorities. Chris will then take you through the financials and our outlook for the balance of the year. After that, we'll open the call to your questions. We are pleased that our second quarter results exceeded expectations, demonstrating the continued resilience of our North American business and the effectiveness of our strategic initiatives. Comparable sales grew 2.5% and marking our fifth consecutive quarter of positive comparable sales growth. Even more encouraging is that our 2-year comparable sales stack accelerated 300 basis points versus the first quarter, indicating our momentum is building even as we face increasingly difficult year-over-year comparisons. Comparable sales growth accelerated each period during the quarter as we build towards back-to-school and the North American business continues to be the primary driver of our performance. This strength reflects a successful execution of our merchandise and customer experience initiatives, which are clearly resonating with our core customer base despite the challenging operating environment. Our momentum continued to build into August with low teens comparable sales growth in the United States on top of a double-digit increase in the year-ago period, providing confidence in our approach and optimism heading into the important holiday season. However, we remain prudent in our outlook given the broader economic uncertainties around tariffs and the consumer. Heading into the back half of 2025, we remain focused on three strategic priorities: first, driving revenue growth through customer-focused strategic initiatives. Our commitment to refreshing our product mix with innovative offerings continue to generate strong customer response, building on momentum from introducing over 120 new brands throughout 2024, we persist in our mission to deliver distinctive exclusive merchandise that sets us apart in the marketplace. The expanded presence of these new and emerging brands in our sales mix validates the effectiveness of our merchandising approach. Private label performance remains exceptionally strong, reaching 30% of total sales year-to-date through the second quarter versus 27% a year ago and representing the highest private label penetration in our history. The sustained expansion showcases our organization's capability to identify emerging trends and create compelling products that connect with our customers while enhancing our margin profile. Our commitment to exceptional customer experiences across both physical and digital touch points remains unwavering. Continued investments in staff development and technological capabilities allows us to engage with customers who increasingly tailored and meaningful interactions, reinforcing the relationships that have anchored our success for decades. Second, sustaining our rigorous commitment to profitability optimization across our geographic footprint. Within North America, our emphasis on premium pricing strategies continues supporting margin gains alongside market share expansion. The operational improvements we have executed continue to generate benefits, establish a more efficient and profitable business framework. Regarding Europe, market conditions are challenging, making it difficult to build on the improvements we made in sales, product margin operating results in 2024. We remain actively engaged in driving revenue through distinctive product offerings while preserving our commitment to premium pricing and expense management. We continue to have confidence in its long-term potential, particularly as we see trends developing locally before expanding internationally. Third, capitalizing our solid financial foundation to manage volatility while funding expansion. Our financial position remains strong with cash and liquid investments exceeding $106 million at quarter end and historically speaking, our highest cash generation months ahead of us. This fiscal stability enables continued investment in our strategic objectives, provides the ability to address opticals that could emerge and simultaneously deliver shareholder value to our stock repurchase initiative. Despite operating an environment characterized by economic volatility and shifting trade relationships, I am confident in our ability to generate value for our entire stakeholder community. The fundamental approaches that have powered our achievements across our organization's history continue holding tremendous relevance. Our team's demonstrated adaptability and execution capabilities fuel my enthusiasm regarding our trajectory through the balance of 2025. Our direction remains well defined, maintain our dedication to delivering distinctive fashion-forward merchandise through the customer connection strategies that have propelled our growth while preserving the operational rigor that has strengthened our financial performance. We've proven our resilience through previous market cycles, and I am certain we're strategically positioned to uphold that tradition. Before I transition to Chris, I want to express my appreciation to our entire organization for their ongoing commitment and flexibility. Your dedication to our values, and our customers continues to serve as a foundation for all of our achievements. With that, let me hand the call over to Chris for the financial review.
Christopher Work: Thanks, Rick, and good afternoon, everyone. I'm going to start with a review of our second quarter results. I'll then provide an update on our third quarter-to-date sales trends. Second quarter net sales were $214.3 million, up 1.9% from $210.2 million in the second quarter of 2024. Comparable sales were up 2.5% for the quarter. As Rick mentioned, the primary driver was our North America business, which shows outsized strength even as macroeconomic uncertainty spurred by global trade policy intensified during the period. For the second quarter, North America net sales were $180 million, an increase of 2.1% from 2024. Other international net sales, which consist of Europe and Australia, were $34.2 million, up 1% from last year. Excluding the impact of foreign currency translation, North America net sales increased 2.1% and other international net sales decreased 4.2% year-over-year. Comparable sales for North America were up 4.2%, marking the sixth consecutive quarter of comparable sales growth. After positive comparable sales in the important fourth quarter of 2024, our other international comparable sales have been negative in 2025, declining 5.5% in the second quarter. From a category perspective, women's was our largest positive comping category, followed by hardgoods and accessories. Footwear was our largest negative comping category, followed by Men's. The consolidated increase in comparable sales was driven by an increase in dollars per transaction, partially offset by a decrease in transactions. Dollars per transaction were up for the quarter, driven by an increase in average unit retail, offset by a decrease in units per transaction. Second quarter gross profit was $76 million, up 5.9% compared to $71.8 million in the second quarter of last year. Gross profit as a percentage of sales was 35.5% for the quarter compared to 34.2% in the second quarter of 2024. The 130 basis point increase in gross margin was primarily driven by 60 basis points of improvement in product margin and 60 basis points of benefit related to the leverage of store occupancy costs on higher sales and the closure of underperforming stores. SG&A expense was $75.9 million or 35.4% of sales in the second quarter compared to $72.2 million or 35.4% of net sales a year ago. The 100 basis point increase in SG&A expense was driven by a 40 basis point increase in corporate costs, 30 basis points related to higher-than-anticipated legal settlement, 20 basis point increase related to annual incentive compensation, 20 basis point increase related to store wages, a 20 basis point increase in non-store SG&A wage costs and 30 basis point increase related to numerous smaller changes to impairment costs, training and other miscellaneous costs. These increases were partially offset by 60 basis points of benefit in non-wage store operating costs. Operating income in the second quarter of 2025 was $0.1 million or 0.1% of net sales compared with an operating loss of $0.4 million or 0.2% of net sales last year. Net loss for the second quarter was $1 million or $0.06 per share. This compared to a net loss of $0.8 million or $0.04 per share in the second quarter of 2024. Our effective tax rate for the second quarter of 2025 was 210% compared with 252% in the year ago period. The higher-than-usual tax rate in the second quarter this year and last year was primarily due to the allocation of losses across the jurisdictions in which we operate. Turning to the balance sheet. The business ended the quarter in a strong financial position. We had cash and current marketable securities of $106.7 million as of August 2, 2025 compared to $127 million as of August 3, 2024. The decrease in cash and current marketable securities over the trailing 12-month period was driven primarily by share repurchases and capital expenditures of $38.3 million and $14.1 million, respectively, partially offset by $26.6 million in cash provided by operating activities and the release of $3 million in restricted cash. As of August 2, 2025, we have no debt on the balance sheet. During the second quarter, we repurchased 0.6 million shares at an average cost, including commission of $13.10 per share for a total of $7.8 million. As of August 2, 2025, we had $7.2 million remaining on the $15 million repurchase authorization approved by the Board on June 4. We ended the quarter with $157.7 million in inventory, down 0.6% compared with $158.8 million last year. On a constant currency basis, our inventory levels were down 1.7% from last year. We feel good about our current inventory position. Now to our third quarter-to-date results. Net sales for the 30-day period ended September 1, 2025, increased 10.6% compared to the 30-day period in the prior year ended September 2, 2024. Comparable sales for the 30-day period ended September 1, 2025, were up 11.2% from the comparable period in the prior year representing a 2-year comparable sales stack of 23.3%. From a regional perspective, net sales for our North America business for the 30-day period ended September 1, 2025 increased 11.7% compared to the 30-day period ended September 2, 2024, while our other international business increased 2.3%. Excluding the impact of foreign currency translation, North America net sales for the 30-day period ended September 1, 2025, increased 11.7% from the prior year, while the international net sales decreased 2.1% compared to 2024. Comparable sales for North America increased 13% for the 30-day period ended September 1, 2025, compared to the same weeks in the prior year, while comparable sales for other international business declined 3.2%. From a category perspective, all categories delivered positive comparable sales quarter to date with women's being the largest comp followed by men's, accessories, footwear and hardgoods. The consolidated increase in comparable sales was driven by an increase in dollars per transaction and an increase in transactions. Dollars per transaction were up for the period, driven by an increase in average unit retail, partially offset by a slight decrease in units per transaction. With respect to our outlook for the third quarter of fiscal 2025, I want to remind everyone that formulating our guidance involves some inherent uncertainty and complexity in estimating sales, product margin and earnings growth given the variety of internal and external factors that impact our performance. This is even more pronounced in today's environment with the current tariff situation that adds additional uncertainty and complexity to pricing and the potential to limit the ability of the consumer to continue to spend. Our recent trend line in North America during back-to-school has been very encouraging and provides confidence as we head into the holiday season. That said, we think it is prudent to balance our current domestic momentum with some near-term conservatism given the general uncertainty in the macro environment and recent trends where we have seen nonpeak consumer traffic soften. We are anticipating total sales will be between $232 million and $237 million for the 13 weeks ended November 1, 2025, including comparable sales growth of 5.5% to 7.5% over the prior year. For the third quarter, we are expecting product margin to increase from the third quarter of last year and consolidated operating income for the third quarter is expected to be between 2.3% and 3.3% of sales and we anticipate earnings per share will be between $0.19 and $0.29 compared to EPS of $0.06 in the prior year. Regarding full year 2025 results, uncertainty remains in the macro environment. The overall tariff situation continued pressure on consumer discretionary income require caution. We have performed well in North America during the important back-to-school season, which is generally a reasonable indicator for holiday performance. Overall, barring a significant downturn in the economy, we remain confident in our original projections for the year. We now believe that we'll see year-over-year sales growth of 3% to 4% in 2025 despite the closure of 33 stores in fiscal 2024 and 20 store closures planned primarily in late 2025, which combined are estimated to have a negative impact on sales of roughly $14 million for the year. We anticipate modest year-over-year growth in product margins in 2025 on top of 70 basis points of improvement in fiscal 2024. We anticipate driving additional gross margin leverage through the other expense categories such as occupancy, distribution and logistics. And finally, we believe that we can hold our 2025 SG&A costs, excluding the onetime legal charges relatively flat as a percent of sales with our fiscal 2024 results through continued focus on expense management, while also investing in important long-term strategic initiatives. Combined, these expectations will drive a year-over-year increase in operating margins and net profit for fiscal 2025, bringing the company back to profitability. Including these fiscal 2025 expectations are the following: six new store openings during the year, including five in North America and one in Australia. We also plan to close approximately 20 stores in fiscal 2025, including up to 17 in the United States, two in Canada and one in Europe. We expect our capital expenditures for 2025 will be between $11 million and $13 million compared to $15 million in fiscal 2024 and $20.4 million in 2023. We expect the depreciation and amortization, excluding noncash lease expense, will be approximately $22 million, in line with the prior year. And while effective tax rates are likely to fluctuate significantly by quarter, we anticipate that our full year effective tax rate will be roughly 50% to 60% in fiscal 2025. We are currently projecting our diluted share count for the full year to be approximately 17.3 million shares, which excludes any stock repurchases beyond the end of the second quarter. With that, operator, we would like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from Mitch Kummetz with Seaport research partners.
Mitchel Kummetz: Thanks for taking my questions, I got a few of them. First of all, I guess, Chris, on the 3Q guide, maybe a couple of things there. Obviously, you're comping very well quarter-to-date. What are you assuming for comp for the balance of the quarter to get to your comp guide for the quarter? And then also, can you maybe kind of break out the op margin in terms of kind of gross and SG&A? I would imagine that you get a pretty good amount of leverage, both on kind of BDO and also SG&A expense based on the kind of the comp level that you're expecting, but you're also expecting product margins to be up too. So maybe some more color there would be helpful.
Christopher Work: Yes. Thanks, Mitch. Happy to take that. I think from an overall comp perspective, as we've seen from the last couple of years, we have seen kind of the nonpeak time periods slow. And while we are ecstatic about how our back-to-school has run here. I mean, as we said in our prepared remarks, the August comp was 11.2%. The 2-year comp was 23.3%. If we just look at North America, the 2-year stack is 27.9%. So we're really encouraged by what the product offering has been through back-to-school. But we know we have seen some slowdown in the last two years after back-to-school. So we are assuming a much lower comp level in the, I'll say, low single digits to -- in the quarter as we kind of wrap up this week, which is week 5 of the period. So from here on out, we would assume it to go back to something closer to what we saw in Q2. And then obviously, if we're able to beat that, we see that there's some upside to the plan. On the second piece of your question, just thinking about Q3, on this type of comp growth, we expect to get pretty meaningful expansion both in gross margin tied to what we would expect to see a pretty significant leverage on things like occupancy and distribution as well as some product margin expansion. And on the SG&A side, we would expect to have pretty meaningful leverage. As we talked about in our annual remarks, we expect to grow SG&A at a lower rate than sales. And I think with the sales levels that we're predicting at this point for 2025, we think we'll be there kind of absent some of these onetime legal charges that have happened in the first six months that we've laid out. So we feel like we can leverage SG&A. Obviously, Q2 was a little higher, but I think that's going to show to be timing as we wrap the entire year and feel like we'll get some good leverage on SG&A in Q3.
Mitchel Kummetz: Great. That's very helpful. And then maybe two others. It sounds like comp in the quarter was really driven by AUR and that, that's also benefiting you guys for 3Q to date. Could you maybe speak to what's driving AUR? Like how much of that is just higher MSRPs given the tariffs versus maybe mix of business or a lower level of promotions or anything else? Could you maybe address that?
Richard Brooks: I'll start and let Chris add on, Mitch. It is going to be a combination of those factors, clearly. I mean, as we've discussed in the previous quarter call, we have taken the price increases as we prepared for the back-to-school window. But there's also obviously mix shifts in the business. Obviously, the apparel businesses that are driving the business. So you're seeing some positive, I think, mix shifts relative to the nature of the business and away from other departments that have been a little bit more pressured or like accessories, which tend to have lower AUR. So there is no doubt mix shift in place here as well as some -- emphasis on the price. And then of course, we also have -- the price we took was also in our private label businesses. So we have been dealing with mix shifts on the brand side, too, and then I think you do look at what we've been doing with our bundling promotion, there's aspects of that. And -- but again, there's mix shifts among those two that are playing out not only in Q2 but into Q3 as well. Did I miss anything, Chris?
Christopher Work: No. I think the only thing I do think is important to call out is this is our fifth overall quarter. Q2 is our fifth overall quarter of positive comparable sales. It's our sixth in North America. And what's interesting across those quarters is almost all of it has been driven by AUR gains as you indicated and Rick just laid out. What's encouraging for us is we did move into back to school here as we did see transaction gains. And so it was AUR, it was still a larger portion, but we're encouraged to see transactions as well during the peak of back-to-school.
Mitchel Kummetz: And then I guess my last question, just on the strength of the private label business getting to a 30% penetration level in the -- I guess that's year-to-date. What product categories are you seeing the most strength in your private label? And I don't know if you're willing to say it, but I'd be curious to know what private label penetration is of denim and if you're benefiting from some -- or if you think you're benefiting from some of kind of the overall strength in the denim category these days?
Richard Brooks: I'll start again and let Chris add, Mitch. I mean, clearly, you can be in our stores and see how significant our denim presentation is amongst our private label brands. So I think you can surmise that we have fairly high penetration within our private label brands in those key bottom categories just by observing what we're doing in store. Now I think what's going on in private label something a bit deeper relative to the trend -- what's happening more broadly with the consumer role today. And what our share gains in private labels flex over the last number of years because we've been doing well in growing private label for the last 4 or 5 years now. I think it fundamentally reflects something different from the consumer world perspective and that's that, brand cycles are so fast now and new brands are cycling fast than they've ever cycled into our business, which is really exciting from that perspective. But it also means that new brands don't have as much time to develop their competencies, around cut and sew categories. So I think we've recognized over the last few years that we have to own those categories in a much deeper way. And that's been the initiative. And of course, to do that, you have to lead on track and be at the front end to trend cycles. So I think that is exactly what we've done over the last few years with our private label products. And I think we have the advantage again of a number of brands that are positioned uniquely to target specific consumer segments within our customer base. And again, so it's not just one brand fits all sizes that we're actually targeting different brands at different niches of our consumer base. So I think we have a really well-established platform. I think we're recognizing the realities of the consumer world and reacting to it. And we're benefiting across that both in terms of our ability to be responsive to the customer and to drive sales because we're not a value player here in private label. I want to be clear about that. As we've talked about, we're the premium price player now in the mall in a lot of these categories like denim. So we're really -- and this is because we're offering unique product and leading on the trend cycle itself. So I feel great about where we're at. I think it's been, again, reflective of what's going on in the consumer world. And I think our teams have executed at a really high level. Chris, anything else?
Operator: [Operator Instructions] our next question comes from Jeff Van Sinderen with B. Riley Securities.
Jeff Van Sinderen: And let me say congratulations on the stronger peak back-to-school trends. Looking at your business, sort of a high level, what do you believe is feasible in terms of operating margins for the enterprise over the next couple of years? And what are the drivers that you see to get you to whatever that higher level of operating margin is?
Richard Brooks: Jeff, I'll let Chris deal with the numbers here. He's usually better at the numbers side as I am. But I think clearly, the story is a simple one, which is that we have to have unique products both in the sense of what we're delivering from a brand perspective and also, as I just commented on, relative to trend cycles and those trend cycles that really play in our private label. And this is going to benefit margin, but most importantly, our story is a sales recovery story. And post the pandemic, where we actually had a good year in 2020, a really good year in 2021, like everyone else with the stimulus spending. Then we had some really tough challenges after that, right? moved all that skate volume into 2020, really difficult years across skate hardgoods in the last few years. And likewise, we had a big challenge with the footwear brand that had a big downturn. So we had some big headwinds that hit us in 2022 and 2023. So our story is how do we recover back our sales level. At the same time, establish a much higher basis for our product margins. And I think that's why we're so excited about the stacked back-to-school comps and particularly here in our U.S. business because I think that is exactly what we're demonstrating we can do. So with that color, I'll let Chris comment a bit on how he thinks about the targets.
Christopher Work: Yes. And I think, Jeff, you've been around the model for a long time. As we have kind of rethought this, and obviously had a little bit of a reset here, I don't think our long-term goals have changed. I'm not saying this is where we're going to be in the next three years. But I think over time, we still believe we can get long-term operating margins back to that high single-digit level. We've been there before. We've been beyond that before. And I think it speaks to what Rick's talking about is, number one, a sales recovery, right? When you look at our sales even compared to a period like a lot of retailers look at 2019, there's a good chunk -- still a good discrepancy from where we are planning this year to 2019. And if you break that apart even further, knowing that we've grown the international side of the business, the North America side of the business still has a lot of growth to get back to 2019 levels. And that's just on a pure dollars perspective. So as we think about really the newness and the ability to inject with both our branded and our private label format, we think we should be able to grow beyond 2019 because we all know that AURs have gone up since then. So we have to continue to push to bring in newness that will drive sales beyond those levels. That alone would solve a lion's share of our delta to where we sit from 2019 profitability. Beyond that, as Rick said, I think product margin is an opportunity for us. I think there'll be some pretty meaningful leverage on some of the bigger cost items of the business with sales at that level. And then the international side of the business continues to be an opportunity for us to fix. As we've talked about with Europe, we are in year 1 of a 3-year plan to really drive that back to a breakeven level. We're pushing very hard to do that. I think the first 6 months have been tougher than we would like, but I think we're on the right trajectory to be able to execute on that over a multiyear period. And I think as that piece flips, you'll see additional kind of leverage and growth in operating profit on the bottom line that would be significant.
Jeff Van Sinderen: So you sort of touched on the European business, and I was also thinking about the Aussie business. But just thinking about Europe, in that business, and I realize you have a multiyear plan to improve it. But what are really the biggest headwinds that you're facing in that business now? What do you need to overcome to sort of have that 3-year plan work out?
Richard Brooks: Well, first, I think, Jeff, we have to -- we need the economy to cooperate there. And I think we feel that we have maybe some good indications that the economy will start growing at a more significant rate and particularly the largest market for us in Europe is Germany, which the last years has had basically no growth, in fact, it's slightly negative. So -- but with the spending package coming into Germany, the government is just approved, I'm hoping and the forecast we're going to see some growth economically from the GDP perspective in 2026. So I hope we get some assistance from that perspective. It would be nice if there wasn't a war in Europe too, in terms of consumer confidence. And then we have to execute -- to be clear, we have to execute better. I think we said this in the script that we have to really distinguish our assortments more than we have. We have to be better on the trend side of the business over there, and we're really leveraging from the strengths and what we know here in the U.S. and we have to make sure that we are curating and differentiating this element. That is Mission 1. And then, of course, we want to replicate and -- I think we have a really unique store experience today, but I want to continue to work on that and heighten that experience so we can again sell more units and win more wallet share with that consumer. So I think we own the piece that we own, better assortments, great in-store experiences and then we need some cooperation just in general recovery of the -- in the economic environment.
Operator: Our next question comes from Mitch Kummetz with Seaport Research Partners.
Mitchel Kummetz: I've got a couple of follow-ups. One, Rick, you mentioned in response to one of Jeff's questions that it's a sales recovery story and you mentioned a couple of somewhat unique headwinds to your business, one being skate and the other one being this large footwear brand. I'm curious, as you kind of look at those two pieces, do you think that you kind of reached the bottom there with those and that being kind of a pressure point on comp, that's largely behind you? And then I have one more.
Richard Brooks: Right. I'll start and try to address both the skate and shoe business, Mitch, and let Chris add again to it. So as you saw in our disclosures, our skate business -- skate hardgoods business has turned positive. Now we're still going to be cautious why we're encouraged there. And I'll remind -- I know you know this well, Mitch. But generally, I think we're probably the most significant skate retailer of skate -- true skate component businesses in the world today in terms of just our scale. So we benefit greatly -- we benefit disproportionately on the up cycles and unfortunately, disproportionally when there's a major down cycle like we've had over the last few years. So I'm encouraged, and I think our whole team is encouraged by the positive results we've been getting lately in our skate hardgoods business. Again, I'll be a little bit cautious. I want to -- typically, we always see better results in skate hardgoods in the spring and summertime. So I think I want to be a little bit cautious if we head into the fall and winter season in North America before I called out a permanent trend, but it certainly is encouraging. I -- we've been feeling like we just have to find the bottom. So we're hopeful we have down the bottom of the cycle. Shoes. Shoes continue to be why we were -- we ran some comps here periodically in the shoe categories. It continues to be a very challenging category overall. And it's not just one brand. We've had a few brands that have been very challenging in the footwear business. So -- but again, this speaks in some ways to when looking at our whole business, again, consecutive quarters of comp gains now. We're doing despite the up and downs in the footwear business despite the negative drag of state, I think it shows resilience that we can find ways to run gains. And so I would say we're not out of the -- I'm hoping we're -- hopeful that we're out of the -- we found the bottom of the skate trend. You can look to a prolonged period of upward cycle in skate and I think we still have a ways to go, Mitch, on really getting shoes figured out relative to what the consumer wants today.
Mitchel Kummetz: Yes. And then my last question because it also sounds like you expect continued product margin opportunity. And I guess I'm wondering how much of that is tied to the private label penetration continuing to grow? And is there any way you can say from a product margin standpoint, kind of what the delta is between private label and third party?
Christopher Work: Sure. Yes. I'll go ahead and take that from a numbers perspective. And I just want to remind you, too, as we look back in time, I mean, we do believe that a chunk of our product margin gains are driven by what we're doing in private label but we've run product margin gains in branded cycles, too. And if we look back into '17, '18, '19, that we grew product margin pretty meaningfully and private label is actually shrinking as a percent of the business is a pretty heavy branded cycle. So as we think about product margin overall, we think there's probably tend to 15% benefit in our private label product from our pure branded product. And then, of course, there is also kind of an in between where we work with brands on more of a license model, which is sort of a -- will fall in between those numbers. So we're executing all of those today and believe there's a real benefit of that strategy to both have your own private label to capture trend. As Rick has talked about, obviously, to have brands that are hard to find and unique in the market. And then we have a license model as well in which we can work with brands that we can help in more ways. We've got a lot of resources in regards to building product and sourcing product and where we can help brands will execute that way as well.
Operator: Thank you. I would now like to turn the call back over to Rick Brooks for any closing remarks.
Richard Brooks: All right. Again, as I always like to say, I truly appreciate everyone's interest in Zumiez, and your -- and appreciate your continued interest in Zumiez, and we're going to look forward to talking to you in December when we release Q3 results. Thank you, everybody.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.